Operator: Good afternoon. And welcome to the AgroFresh Solutions Second Quarter 2020 Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please also note today's event is being recorded. At this time, I'd like to turn the conference call over to Jeff Sonnek, Investor Relations at ICR. Sir, please go ahead.
Jeff Sonnek: Thank you and good afternoon. Today's presentation will be led by Jordi Ferre, Chief Executive Officer; and Graham Miao, Chief Financial Officer. The comments during today's call and the accompanying presentation contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts are considered forward-looking statements. These statements are based on management's current expectations and beliefs as well as a number of assumptions concerning future events. Such forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from the results discussed in the forward-looking statements. Some of these risks and uncertainties are identified and discussed in the company's filings with the SEC. We'll also refer to certain non-GAAP financial measures, please refer to the tables included in the slides that will accompany this presentation as well as the press release, which can be found on the Investor Relations section of our website, agrofresh.com, for reconciliations of non-GAAP financial measures to their most directly comparable GAAP measures. With that, I'd now like to turn the call over to Jordi Ferre.
Jordi Ferre: Thank you, Jeff, and good afternoon, everyone. Please turn to Slide 3. To begin, I'm extremely pleased with the successful comprehensive refinancing transaction that closed on July 27. This meant the timeline we laid out and is the major milestone for the business since becoming a standalone public company. We believe our improved capital structure, combined with sustained improvements in operating cash flow will allow us the flexibility to pursue our growth strategies more robustly. With respect to the second quarter performance, it was largely consistent with the trends we saw during the first quarter and aligned with our expectations for the southern hemisphere season. As we expected, we were able to recover some of the first quarter shortfalls in the second quarter. Revenue in the second quarter increased 2.4% in constant currency terms versus the prior year period. However, this growth was not enough to offset the adverse events. We experienced the first quarter and resulted in a 5.5% constant currency decrease in revenue for the first half of 2020. From an operational perspective, we continue to drive improvements in our cost structure. We delivered at 21.2% improvement in SG&A expenses in the second quarter and 17.5% improvement in the first half over the prior year period. Further, we've been able to drive supply chain savings, which resulted in 100 basis points improvement to gross margins in first half of 2020. Combined, we generated a 310 basis point improvement in our adjusted EBITDA margin for the first half of 2020, which resulted in adjusted EBITDA growth of 3.2% despite the decrease in sales, Our ability to enhance the financial profile of our business has been accomplished in the midst of the COVID-19 pandemic that continues to disrupt industries, supply chain and ultimately the life of so many around the world. I'm fully proud about how the AgroFresh team has continued to service our customers in such a difficult environment. We have put in place a number of preventative measures for the upcoming northern hemisphere season that will allow our technical and operational staff to continue operating from the service centers ensuring that our post-harvest solutions are able to be applied to all available fruits only. When we refer to AgroFresh on wavering and superior service to customers, we mean it and we live it Please turn to Slide 4. The fundamentals of our Agro SmartFresh business have remained solid during the first half of 2020 amidst a challenging operating environment brought about by the pandemic. Our core pome fruit, SmartFresh business grew 2.1% and including contribution from our SmartFresh diversification efforts, which generated growth of 4.2% in the second quarter versus the prior year period. However, as we discussed during the first quarter call, disruptions related to weather and crop size in Latin America and Australia, negatively impacted our SmartFresh revenue for the first half, which decreased 9%. This performance is consistent with reports that the Latin American apple crop declined by an estimated 11% versus the prior year. Finally, the drought in key growing regions of Australia resulted in an estimated decrease in apple production of approximately 11% versus the prior year according to Apple and Pear Australia Limited. As it was discussed during our first quarter call the COVID-19 crisis caused some sharp currency movements in both the South African Rand and the Brazilian Real, which are key southern hemisphere markets for us and as a result negatively impacted our revenue growth on an absolute basis. Additionally, I'd like to share a few thoughts on the global flower business, which has been particularly disrupted by the global pandemic. For example, volume traded by FloraHolland auction dropped by 70% and global retail sales declined by 50%. EthylBloc, which is our equivalent SmartFresh solution for cut flowers and ornamentals, experienced a revenue decrease of approximately 40% versus the same period in the prior year. Although this is a relatively small category for AgroFresh, we believe it will return to growth next year with an improvement of the current environment as well as innovation we are launching into this market. Turning to Slide 5, for the first half of 2020, our revenue mix associated with the apple crop was 68% compared to 63% in the prior year period. While this is a step back in our diversification efforts, we believe it is purely circumstantial and driven by a poor season in our core citrus market, as well as the impact of the pandemic to our EthylBloc business, both of which are key variables in our crop diversification mix. While we manage through the current environment, our new crop diversification team, which focuses on crops beyond apples and citrus, is starting to deliver results with a 22% increase in sales for melons and the 56% increase in sales for avocados. We are also seeing the added benefit of geographical diversification as these sales are focused within key markets such as California, Peru and Mexico. For example, our recent success with SmartFresh applications for melons was accomplished through a key customer, California based Fisher Ranch. We are helping this customer extend the storage window and gaining improved inventory flexibility with the use of our SmartFresh SmartTabs solution on their cantaloupes and Golden Dewlicious honeydew melons. Our industry trusted post-harvest solution enables melons to ripen on the vine, allowing the fruit to retain greater firmness and sugar content despite longer transit time. We continue to develop additional opportunities to crops such as broccoli, ready-to-eat melons, avocados and tomatoes across Latin America and the United States. From a technological standpoint, the launch of FreshCloud Quality Inspection is being very well received by customers outside our core apple business. And we have a number of ongoing trials that we expect to convert into long-term contracted business during the third quarter of this year. Finally, a note on the regulatory front, we continue to utilize our expertise and capabilities to address new markets and new crops. During the second quarter, registrations for SmartFresh ProTabs were granted in Japan for apple, pear and persimmon and in Morocco for apple and plums. Additionally, a SmartFresh SmartTabs label was extended in Peru for mangoes. These are great examples of the power of our regulatory portfolio which help us gain access to markets and diversify our business. Please turn to Slide 6, Harvista technology slows the natural ripening process allowing apples more quality time on the tree and can be applied up to three days before harvest. Customers use Harvista to develop better color and size, expand the harvest window by up to 14 days, manage labor forces and time their harvest for optimum maturity. Harvista sales in the southern hemisphere grew 28% in the first round compared to the prior year. Growth was driven by Australia, which experienced remarkable growth of 231%, South Africa where our Harvista sales increased by 72% and Brazil, where approval in the first quarter of 2020 brought incremental sales. This was partially offset by a disappointing season in Argentina, which faced crop and financial challenges. As we look ahead to the current northern hemisphere season, during the second half of 2020, we have prepared super plan for Harvista given the advantages that the solution provides our customers, such as added control and flexibility to harvest timing and workforce deployed. We think Harvista is especially important during the current pandemic emergency, as the industry grapples with anticipated labor shortages. Part of the support plan for North America is the more aggressive promotional presence, as well as establishing the connection with our FreshCloud analytics platform. We recently launched a new tool called FreshCloud Harvest View, which will help drive penetration and optimize timing on Harvista application. The fact that Harvista can be applied three days before harvest will provide customers flexibility to react to last minute labor disruptions providing a window for outfield operations crew to respond quickly with the appropriate application to maintain the value of the customers crop. In Europe, we partner with a local apple industry to submit applications for emergency permits for the use of Harvista ahead of its official registration expected for 2021/2022. Approval was granted in Spain and Italy in time for the upcoming season due to the likes of labor shortages brought on by the COVID pandemic. Harvista is also a key element of our diversification initiative. While we already received regulatory approval in the US and Chile for cherries and blueberries, we aim to continue expanding our regulatory portfolio to both new regions and crops. Currently, we are running a number of trials in other high value crops, which we hope will provide further growth and diversification opportunities. We continue to believe Harvista is poised for a strong growth year in 2020 and that its longer term growth potential will be driven by additional regulatory approvals, as well as improved delivery of real time digital tools that only AgroFresh has the capability of providing. Please turn to Slide 7, Tecnidex addresses the post-harvest citrus business, providing AgroFresh with crop and technology diversification via an established portfolios of fungicide, coating and waxes. During the first half of 2020, performance was disappointing and largely impacted by significant decrease in citrus production in Spain and Morocco due to extreme weather events that we spoke about during our first quarter call. These two countries are our largest markets for Tecnidex and as a result, Tecnidex revenue decreased 22% during the period. We are well prepared for the 2020/2021 citrus season in Spain and Morocco, which will begin during the fourth quarter of 2020. We continue to believe that Tecnidex will generate growth for full year 2020. With Tecnidex our regulatory expertise now extends to citrus and other product categories. During the second quarter, we obtained organic certification in the European Union for TecStar COAD-2515 [ph], which is the processing aid and key water treatment to control fungus while food is being treated. We will also be introducing some breakthrough innovations in the 2020/2021 citrus season that we are excited about and which will be made public in due course. Please turn to Slide 8. FreshCloud is our digital platform that provides our customers with real time data and insight about product freshness and projected shelf life. These are powerful supply chain insights enabling better and more decision-making to proximize customer returns. As I've touched on, this year we launched FreshCloud HarvestView, which complements our Harvista with an automated tool to optimize and increase the speed of fruit maturity assessment and harvest decision-making. As an example, in today's environment, we are already seeing the fruit is maturing faster than normal. FreshCloud HarvestView detectifies [ph] the starch progression of the fruit, which is a proxy for its maturation, by using FreshCloud HarvestView growers, can plant more effectively to maximize the value of their crop and well, of course slow down the maturation process through an optimized application of Harvista. The industry has received this to very positive and we see it as a platform that can grow beyond its initial deployment alongside Harvista. After a successful introduction is North America this year, we plan to roll the solution across all markets were Harvista is sold next year. Another new tool is called FreshCloud Quality Inspection. This position is traceability with intelligent visibility and takes the form of mobile tools that tenderizes the product quality inspection process within an organization and visualization capabilities to optimize the quality of decision making. This year, we have focused the introduction of this new tool to US customers outside of our core apple business with a number of customers in active trials. The second stage will be with the rollout of our apple customers, as well as other markets outside the US. FreshCloud is an evolutionary journey and innovations that just discuss our evidence of the innovation and service-oriented solutions that we bring to the marketplace. I'll now let Graham speak to some of the financial highlights. Graham?
Graham Miao: Thank you, Jordi and good afternoon to everyone. Please turn to Slide 10. The second quarter completes our southern hemisphere season. As we have noted on numerous occasions, we think it's most valuable to look at the business in half versus quarters to consider seasonal fluctuations that can shift sales between the quarters of each half. Net sales for the second quarter of 2020 decreased 5.7% to $20 million, compared to $21.2 million in the second quarter of 2019. Excluding the impact of foreign currency exchange, which reduced the revenue by $1.7 million compared to the second quarter of 2019, revenue increase 2.4%. The net sales increase on a constant currency basis as primarily the result of growth of SmartFresh in the Asia Pacific region, as well as positive contribution from our SmartFresh diversification strategy. Results for the first half of 2020 largely reflect the completion and the performance of the business for the southern hemisphere season. Net sales for the first half of 2020 were $53 million, a decrease of 11.8% versus the prior year period. The impact of foreign currency translation reduced the revenue by $3.8 million for the first half of 2020. Excluding this impact, revenue decreased approximately 5.5%. The net sales decrease on a constant currency basis was primarily the result of adverse harvest conditions experienced in key southern hemisphere markets such as Brazil, Chile, Argentina and Australia, which impacted harvest timing and yield, along with changing demand patterns from customers. Please turn to Slide 11, where we'll discuss margin and operating expenses. Gross profit for the second quarter was $13.5 million compared to $14.9 million in the prior year period. Gross profit margin was the 67.7% versus 70.3% in the prior year period. The lower gross margin was primarily the result of negative fixed cost leverage on lower recorded sales volumes, inventory valuation reserves and revenue mix. For the first half of 2020 gross profit margin was 71.7% compared to 70.7% in the year ago period, which was in line with the company's expectations. The year-over-year 100 basis point improvement was the result of our supply chain cost optimization that were implemented at the end of 2019 partially offset by another unfavorable revenue mix. Research and development costs were $2.9 million in the second quarter of 2020, compared to $3.3 million in the prior year period. Year-to-date R&D decreased $1.6 million to $5.5 million in the first half of 2020. These increases were driven primarily by the timing of projects. R&D winning an important component of our strategy to drive business diversification beyond apples, and we will continue to invest in R&D to support our business, expand our product portfolio and drive innovation. SG&A expenses increased to 21.2% to $12.7 million in the second quarter of 2020 as compared to $16.1 million in the prior year period. Included in SG&A were $0.7 million in the current quarter and $2 million in the prior year quarter of cost associated with non-recurring items that included M&A, litigation, refinancing and a severance. Excluding these items SG&A decreased approximately 15% in the second quarter versus the prior year period, which reflects the company's ongoing cost optimization initiatives, as well as temporary increase in travel and other miscellaneous expenses related to the global pandemic. On a year-to-date basis, SG&A decreased to 17.5% to $26.4 million. Excluding non-recurring costs in the amount of $2.5 million in the current year and a $5.2 million in the prior year period, SG&A decreased approximately 10.5% versus the prior year period. This performance is consistent with our cost optimization strategy that began in 2018 and accelerated in 2019, with 9.6% of SG&A savings. Looking to the second half of 2020, we continue to expect additional savings in the range of 5% to 10%. Please turn to Slide 12. Second quarter 2020, net loss improved to $16.8 million compared to net loss of $22.4 million in the prior year period. The primary drivers of the year-over-year $5.6 million improvement in net loss were lower operating expenses of $3.8 million and the lower interest expense of $2.2 million. For the first half of 2020, net loss was $20.6 million compared to net loss of $34.9 million in a prior period. Similarly, the improvement was primarily driven by lower operating expenses of $7.3 million and a lower interest expense of $3.9 million. Adjusted EBITDA increased $1.6 million to a positive $0.2 million in the second quarter of 2020, as compared to a $1.4 million loss in the prior year period. For the first half of 2020, adjusted EBITDA improved by $0.4 million or 3.2% to $11.4 million compared to the prior year period. Our year-to-date adjusted EBITDA margin improved 310 basis points to 21.6% versus the prior year, which reflects the combination of our hard work in optimizing our operating costs base and the supply chain. We are especially pleased with the results of our proactive cost control efforts which are allowing the business to generate operating leverage even in seasonally lower periods such as the second quarter. As a reminder, our adjusted EBITDA margin performance should also be viewed in total for the year to align with the respective southern and the northern hemisphere seasons, where our higher second half sales volumes translate to correspondingly higher margins for the business. The adjusted EBITDA margin for the last 12 months ended June 30, 2020 was 40.9%. Turn to Slide 13. The strength of our operating cash flow was demonstrated again in the second quarter as we generated $8.1 million cash for the three months ended June 30, 2020 versus a cash use in the prior year period of $2.9 million. This drove our year-to-date performance were cash provided by operations was $9.2 million for the six months ended June 30, 2020, compared to $6.1 million for the same period in the prior year. This is an extension of a broader wanted GFP, where we think certainly improving our operating cash flow through improved management of the business and developing a more efficient organization. The results are more apparent as you look back to 2018 where we generated $3 million of operating cash flow, which grew to $20 million in 2019. And with our large northern hemisphere season in front of us, we are looking to extend this trend of growth of operating cash flow for the remainder of 2020. Capital expenditures were $0.9 million for the six months ended June 30, 2020, compared to $3.3 million in the prior year period, due to timing and delays associated with global pandemic. We continue to expect our annual capital expenditures to range from 2% to 5% of sales consistent with our asset light business model. From a balance sheet perspective, cash as of June 30, 2020, was $35.6 million, total debt was $405.4 million and our $12.5 million revolver was undrawn as of June 30, 2020. Subsequent to the end of the second quarter, on July 27, 2020, we closed on a comprehensive refinancing comprised of $150 million convertible preferred equity investment at Paine Schwartz Partners and amendment and extension of our senior secured credit facility. With the proceeds of the PSP convertible preferred equity investment, the principal outstanding on AgroFresh's term loan has been reduced to $275 million and the company's revolving credit facility was doubled in size to $25 million. The closing of this comprehensive refinancing is a significant milestone for AgroFresh. The transaction accomplishes several key goals for the company, including an extension of the debt maturities by about three and a half years to December 31, 2024. And the significant immediate de-leveraging of our balance sheet by approximately two times to 3.6 times on a pro forma basis for 12 months ended June 30, 2020. The improved capital structure allows us the flexibility to more aggressively address our diversification initiatives and generate growth with the support of our strategic equity investor, Paine Schwartz. Finally, we are pleased with AgroFresh's attrition to the Russell 2000 Index during the recent reconstitution and look forward to sharing our attractive investment prospects with a larger investment audience years to come. Now, I'll turn the call back to Jordi for his closing remarks, before opening the call to Q&A.
Jordi Ferre: Thank you, Graham. Please turn to Slide 14. In closing, I wanted to thank again, all of our employees for their resilience and commitment to continue providing uninterrupted service to our customers during this unprecedented time and to our customers who're continuing to trust in our ability to manage well their valuable products. The recent refinancing of our debt provides flexibility and time to continue consolidating our business and accelerating new areas of growth. In this respect, I am very pleased to welcome our new strategic investor Paine Schwartz Parents, who knows the agriculture space intimately and shares the common goal, grow and make the post-harvest a larger industry with a more relevant role in contributing to prevent food waste. In the meantime, I remain positive about the upcoming northern hemisphere season. And I have never felt stronger about the business during my almost four years as company's CEO. With that, operator, please open the call to questions.
Operator: Thank you. At this time, we'll now be conducting the question-and-answer session. [Operator Instructions] Thank you. And our first question is from the line of Gerry Sweeney with ROTH Capital Partners. Please proceed with your question.
Gerry Sweeney: Hey, Jordi and Graham, thanks for taking my call.
Jordi Ferre: Yeah, you're welcome. Thank you for attending.
Gerry Sweeney: I've had a few questions. So I'm going to take a little bit of a line from your opening remarks here and just say you have growth, your balance sheet and there's opportunities, you have a lot of registrations in the pipeline, you keep pushing that out - or pushing more into the pipeline, et cetera. Sounds like there's a big opportunity with Harvista, you have Tecnidex may be coming into the US. Now that you have a little bit more room on your balance sheet, how do we look at growth? How are we going to put money to work?
Jordi Ferre: Well, Gerry, thank you for the question. I think we - I think it's been very important. Like you said, stabilizing, improving our financial profile, doing the refinancing. And all the work we've been doing, really have a lot of projects in our pipeline, customers diversification, all the things that we keep repeating. So what's important right now? It's actually to focus on growing the business and that's what we're going to do. Now, how we're going to do that? There is - part of it is going to be organic. And we've done a lot of work like you said, and those things are going to start showing in the next months and years. And also, we're going to look as well at external opportunities. And our intention is to resume our M&A program, when and how it makes sense. So as I said in my final remark, we do believe that we are the player for post-harvest and for preventing food waste and we're going to make this company bigger and more relevant. And that's what I wanted to say now that the refinancing is behind us.
Gerry Sweeney: Okay. What about maybe specific opportunities shorter term? Harvista, for example, obviously -
Jordi Ferre: Yes. Harvista, as I mentioned, we feel very strongly about Harvista. And you will see this year that Harvista will accelerate very strong growth. There's many factors for that. I think part of it is we have continued with our plan of regulatory approvals that continue very well. We have continued with improving the delivery of the service which we started two, three years ago. I think the digitalization and the way we are anticipating the need and being able to apply Harvista on the right time is going to be very key to increase penetration in existing markets like the US. And one of the things that we see very well with Harvista is continuing the diversification efforts that we're doing. We mentioned cherries and blueberries. But we also mentioned that there is a lot of trials on a number of fruits, which we're very bullish about this product. We like the flexibility that it provides to customers, we like the results of the proven of quality we have been providing to customers, and we like the response that customers have done - have actually given us and so Harvista definitely, as I mentioned, during my script is going to be a big part of my - of the growth of this company.
Gerry Sweeney: Got it, so just a couple of questions on more of Harvista, I believe it was in Italy and Morocco, a couple of countries were thrown out there, but as you get that into the European Union, even if it's in Italy, does that sort of open the doors for a lot more expansion, not so much this fiscal around, but maybe next year, next fall et cetera.
Jordi Ferre: Sure, I mean, as you know, and we've been mentioning many times in the calls, we are working towards full approval across the whole European Union. And it's going to come in 2021, 2022, especially, I mean, at least partially in 2021 and 2022. But what I mentioned in the call is additional to that already ongoing process. We decided this year with the industry actually, we supported the local apple industry in Europe to apply for an emergency permit that is granted for a number of days to be applied to this season. And the reason behind the emergency permit request was the fact that the COVID-19 pandemic has brought a lot of labor shortages, especially disruption of labor expected in terms of more stringent protocols of engagement in the orchard. We were lucky to get so far Italy in Spain, which is very good news. And so for the first time in the history of the company, you will see actual sales of Harvista in the European Union this year, which is a big accomplishment I would like to highlight.
Gerry Sweeney: Got it, what about North America? Harvista, so an opportunity is there as well, I think you mentioned some promotional spending.
Jordi Ferre: Yeah, we did more - we put a lot of time, focus and dollars in building a very comprehensive plan to promote more the use of Harvista, reminding customers how important it is to be ready this year based on everything that's going on from a labor perspective. As you know, we have a large contingency of customers in the Yakima Valley and you may have read that it's actually very much affected by the COVID-19 bundle. That means that we expect customers to be on the edge again, with disruptions of labor. Harvista is there to help. It can help them do more with less. And so we feel very strong about how Harvista can really help the industry this year. And therefore, we are ready, we put not only promotional knowledge like you mentioned, but we also put more people on the ground to be able to execute better and even more effective. And I would not really forget to mention as well as I said before, the especially FreshCloud HarvestView has been an overriding success with customers in driving Harvista applications and sales and penetration and making the right decisions, but also in opening up another service for us to be able to actually help our customers manage their crop better through the early information that we collect from the field. So we feel very strong about that. And we've also done successful trials this year with the approval of the application in blueberries. So far, we remain very optimistic in what we're seeing. You will not see really an impact on revenue this year, because being the first year there's a lot of trials that we have to do. But I think next year, you will see that impact from the blueberry trials that we've done this year. And also, I would say that it's allowing also diversification not only in blueberries, but also geographically as we're doing now, with new customers in states like Georgia who are very important for blueberry production.
Gerry Sweeney: Got it, if we were to look at Harvista maybe just on an apple basis. What is the addressable market maybe in North America? Anyway, you want to sort of provide some broad brush - it's divided between north of - Northern Hemisphere or given North America versus Europe, just want to get a feel for where this could go for apples and then maybe for combined opportunities, looking at somewhere between -
Jordi Ferre: I think right now - and obviously, the opportunity may change as you add new potential crop. Okay. But I think, and I'm not sure whether that's been publicly made, but I do think that at one point, we felt that the opportunity - considering a reasonable penetration rate would go at least $250 million all together on the aspects of the work. Now it's going to take some time, but I think we're off to a good start with all these regulatory approvals and the improvements that I mentioned before. And obviously, if we could include other crops in the future that we can improve the efficiency that potential could increase.
Gerry Sweeney: Got it, switching gears a little bit, combining a couple things, again, talks about getting back on - into the acquisitions, but you also have a pretty big investment by Paine Schwartz and in my understanding they're pretty active in the agricultural space. Has there been any opportunities either presented by Paine Schwartz or has there been at least any communication? I'm sure they're probably interested in. [indiscernible]
Jordi Ferre: As I said before, Gerry, they are a strategic investor. They're not just providing investment, per se, but they also provide a lot of expertise and a specialization and a true belief in what they do, which is investing in agriculture services and products. Of course, they have their own view that coming into this, but also, although we have not been able to be active ourselves because obviously the limitations until we actually went through the refinancing, it is very clear that we also have our views and our targets that we have either working on engaging. So I think, yes, discussions with the two sides are going to happen very soon. And we will be comparing notes, findings, interactions and decide on a course of action.
Gerry Sweeney: Got it, maybe switching gears a little bit over to Graham talk about the income statement, had some benefit from the supply chain enhancements, is there more of an opportunity from that perspective in a second half since there is larger dollars, maybe a little bit more absorption overhead? And then maybe after that, just talk about SG&A, that's been a big focus and how you chip that [indiscernible] here's more there.
Graham Miao: Yeah, thank you, Gerry, for the question. We do believe that the benefits we are seeing in the second quarter and the first six months to continue for the rest of the year. And as they pointed to the second half of the year, we also would have advantage of higher sales volumes from the northern hemisphere. So gross margin should - we expect to improve and as a result of not only the operating leverage, but also supply chain efficiency benefits that we started a year ago. And then to your question on SG&A - and as we mentioned in the prepared remarks, we feel confident that overall for the year, the first six months results that we see - we're seeing will also continue for the rest of the year and we're comfortable that for the full year as compared to last year we are seeing that - we anticipate to have 5% to 10% additional savings for 2020. And as a reminder, last year 2019 we achieved close to 10% operating expenses savings.
Gerry Sweeney: Got it, okay. I appreciate it guys. Thanks for taking my list of questions. Appreciate it. Thank you.
Graham Miao: Thank you, Gerry.
Operator: Thank you. [Operator Instructions] Thank you. At this time, we'll conclude our question-answer-session and I'll turn the conference call back over to Mr. Jordi Ferre for any closing remarks.
Jordi Ferre: Thank you, operator. Well, I like to like always thank everybody for the support that you continue - and interest you continue to show in AgroFresh. As I said before we're extremely positive towards the future, very, very bullish. And I also like to use the final opportunity to thank the employees at AgroFresh for their passion, their commitment and for making sure that - and contributing to make this difficult year a good year for AgroFresh. Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference call. We do thank you for attending. And you may now disconnect your lines at this time.